Operator: Greetings, and welcome to the 374Water Fiscal Year 2024 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. At this time, I will now hand the call to Chris Tyson, Executive Vice President of MZ Group. Please go ahead.
Chris Tyson: Thank you, operator. Before we begin the formal presentation, I'd like to remind everyone that statements made on the call and webcast may include predictions, estimates or other information that might be considered forward-looking. While these forward-looking statements represent our current judgment on what the future holds, they are subject to risks and uncertainties that could cause actual results to differ materially. You are cautioned not to place undue reliance on these forward-looking statements, which reflect our opinions only as of the date of this presentation. Please keep in mind that we are not obligating ourselves to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events. Throughout today's discussion, we will attempt to present some important factors relating to our business that may affect our predictions. You should also review our most recent Form 10-K for a more complete discussion of these factors and other risks, particularly under the heading Risk Factors. Your host today, President and Chief Executive Officer, Mr. Chris Gannon; and Chief Financial Officer, Mr. Russell Kline, will present results of operations for the fiscal year ended December 31, 2024. A press release detailing these results crossed the wire this afternoon at 4:01 p.m. Eastern Time and is available in the Investor Relations section of the company's website, 374water.com. I will now turn the call over to 374Water's President and Chief Executive Officer, Chris Gannon. Chris, the floor is yours.
Chris Gannon: Thank you, Chris. Good afternoon, everyone and thank you for joining us today. 374Water is a global industrial technology and services company, providing innovative waste destruction and treatment solutions to municipal, federal and industrial market verticals. Our proprietary AirSCWO system is designed to destroy both solid and liquid nonhazardous and hazardous organic waste. And in the process, our technology produces safe dischargeable water safe mineral affluent, safe vent gas and recoverable heat energy. Our goal is to provide the best-in-class waste destruction solutions, which we believe can disrupt the $450 billion global waste destruction and waste management market whose participants seek alternatives to outdated conventional solutions. We believe our scalable and customizable AirSCWO system, which is designed to augment or replace conventional inefficient waste management approaches is an ideal solution for our target markets. In addition, we provide a flexible go-to-market strategy, offering multiple procurement options to meet specific customer needs, including capital sale, lease and waste destruction service offerings. Further, we have developed a robust, actionable and growing backlog and pipeline of opportunities, which we are converting to revenue. As a result, we believe we have a viable path to generate $250 million to $500 million in annual revenue over the next five years or so. Before I discuss our operational highlights and business updates, I would like to play a short video that introduces our AirSCWO technology and provides a brief overview. For those dialing into the call, there will be approximately 90 seconds of silence, so please bear with us. This video is also available at the link within today's investor presentation. [Video Presentation] Moving on to our operational highlights and business updates for 2024 and 2025 year-to-date, I would like to discuss some of the many things accomplished over the past 12 months since the new team arrived. Our focus was on riding the ship, building a foundation for growth and placing the company on a commercial path of growth and revenues. During 2024, we not only outlined a new strategic plan and tactical road map, but also committed to executing key initiatives. We delivered on these promises, materially advancing our company. Throughout the year, we made material improvements to advance our technology, including ruggedizing and optimizing our AirSCWO system, upgrading our pre- and post-treatment systems and significantly expanding our destruction capabilities across solid and liquid waste. During this time, supercritical water oxidation was also identified as an emerging PFAS destruction technology by the EPA. In Q3, we relocated our AirSCWO in pre- and post-treatment systems as well as our manufacturing and engineering operations to Orlando, Florida. This important move allowed us to begin delivering on previously deferred contractual commitments to municipal, federal and industrial customers. We also hosted a wide variety of municipal, federal and industrial participants as well as investors to see AirSCWO in action. And we began manufacturing AS1 and additional AS6 systems. In Q4, we completed a registered direct offering of $12.2 million in gross proceeds to further fund our company, including material investments from management and the Board. We also announced our intent to begin offering waste destruction services in 2025 and started bidding on waste destruction opportunities. We were excited to announce yesterday a waste destruction contract with the University of North Carolina at Chapel Hill Collaboratory to destroy AFFF firefighting foam on behalf of the state. This multiphase contract could be worth north of $5 million to our company. During Q4, we also continue to advance partner negotiations with treatment, storage and disposal facility operators to establish one or more waste destruction service operations in 2025. We finalized the expansion of our laboratory operations with our move into a new state-of-the-art biosafety Level 1 facility, greatly increasing our capabilities to service customers, and we moved our production facility to a new location at Orlando's Iron Bridge facility. During Q1 2025, we confirmed we remain on track to mobilize AS system components to Orange County Sanitation in the first half of the year. During the year, we also released numerous press releases, white papers, completed media interviews and third-party articles were published highlighting 374Water and AirSCWO, including our work with the U.S. Navy, where we successfully destroyed LNAPL waste, Arcadis published an article regarding AFFF firefighting foam destruction, highlighting the effectiveness of 374Water's AirSCWO technology, and we announced our participation in an upcoming Department of Defense project aimed at identifying commercial scale PFAS contaminated waste destruction solutions. Note, we have already successfully destroyed the waste streams identified in the Department of Defense announcement. We also expanded our intellectual property portfolio to ensure we have a defensible moat around our company and technology. We filed multiple patent applications throughout the year, and you can expect we will continue this practice throughout 2025 and beyond. Finally, we further enhanced our leadership team with the addition of Russell Kline as Chief Financial Officer; and Raj Melkote as our Chief Technology Officer. In addition, we hired additional engineering, manufacturing and field personnel. We believe our proprietary AirSCWO system, which harnesses the power of supercritical water oxidation or SCWO, sits at the forefront of waste destruction and waste management innovation. AirSCWO leverages the unique properties of water in its supercritical phase, which is above 374 degrees Celsius and above a barometric pressure of 221 bar. The supercritical phase of water has unique properties, which when combined with ambient air, rapidly oxidizes or destroys organic matter, yielding safe water, safe minerals, safe bent gas and recoverable heat energy. Our continuous flow waste destruction process consists of our AirSCWO, pretreatment and posttreatment systems. Our pretreatment systems are installed upstream of the AirSCWO and are designed to condition solid and liquid waste for improved processing. Once organic waste is pretreated, it is injected into our AirSCWO system's proprietary tubular reactor, where it is combined with supercritical water and air. Our tubular reactor is effectively a high-pressure and high-temperature continuous flow chamber or pressure cooker of sorts. Our waste oxidation or destruction occurs within a matter of seconds. Note, this destruction process is highly tunable, allowing for specific destruction results according to waste stream and customer preferences. Once the waste is destroyed to customer specifications, our post-treatment process commences. The post-treatment systems, which are installed downstream of the AirSCWO system reactor are designed to valorize, meaning optimally process and enhance the safe water, minerals, vent gas and energy byproducts into valuable resources, thereby promoting sustainability and reducing environmental impact. Stated simply, our post-processing capabilities include water purification, vent gas utilization or sequestration, mineral recovery and upgrade and energy recovery and recycling. Our AirSCWO system has been proven to effectively process and destroy a wide variety of organic solid and liquid waste, reaching nondetect or below EPA levels of 4 parts per trillion. These include traditional waste such as biosolids, landfill leaching, industrial waste and military waste as well as emerging contaminants like short and long chain PFAS forever chemicals, which are a large class of synthetic chemicals known to be toxic and negatively impact human health as well as pharmaceuticals and plastics. Let's walk through a few examples. First, let's start with wastewater treatment facilities and biosolids. Take the City of Orlando Iron Bridge water reclamation facility, where we have our commercial scale AirSCWO system installed. On a typical day, Iron Bridge processes millions of gallons of residential, commercial and industrial wastewater at their facility. Following a lengthy and complex process, Iron Bridge dewaters the produced biosolids from less than 1% to around 15% solid content. Orlando then ships these biosolids long distances to those out-of-state landfills still willing to accept this type of waste. Also, many municipalities ship their biosolids to be converted into fertilizer, which is known to contain PFAS and other toxic substances, which are then land applied on agricultural and other lands. Either way, these expensive, convoluted and time-consuming processes are less than optimal and municipalities nationwide seek alternatives for on-premise waste destruction solutions. And we believe we are well positioned to provide a compelling solution. Finally, we have started our 90-day extended duration demonstration with Orlando, and we'll provide updates as we progress. Turning to landfills and their leachate issues. Landfill leachate is a liquid that forms when water percolates through waste material in a landfill, taking up various dissolved and suspended solids. This contaminated liquid as a result of rainfall, service runoff and decomposing waste which can include organic chemicals, heavy metals, pathogens and biosolids. Landfill leachate can and does contaminate surrounding areas, including groundwater. Landfill operators are seeking a means to destroy landfill leachate before it becomes a problem. We believe our AirSCWO technology has the potential to be a solution here. Turning to water utilities, which are increasingly impacted by contaminants like PFAS, microplastics and pharmaceuticals, leading to a widespread adoption of treatment methods like granular activated carbon or GAC and ion exchange resin or IX, which are used to filter these substances. As these materials become saturated with PFAS, processes like AirSCWO are essential for safely destroying the spent GAC and IX, offering a more complete solution for PFAS disposal. We believe we are well positioned to provide a compelling solution. There are many other examples of market opportunities where we believe we have a viable and compelling value proposition, which could drive demand for our AirSCWO solutions. We believe our ability to provide scaled waste destruction solutions is a significant differentiator across waste treatment and destruction providers. We intend to offer four commercial scale AirSCWO systems and corresponding pre- and post-treatment technologies to support customer needs. These AirSCWO models include our highly mobile AirSCWO 1 or AS1, our mobile AirSCWO 6 or AS6, our semi-permanent AirSCWO 30 or AS30 and our bespoke AirSCWO 100+. We are currently manufacturing our AS1 and AS6 units. We are also designing our AS30 and may begin building one of these units in 2025. We are currently tracking several long sales cycle opportunities for our highest capacity AS100 units which as a reminder, will be designed for specific customer needs. 374Water is at an interesting growth inflection point as it relates to the rollout of our technology as we are circling multiple additional AS capital sales as well as waste destruction service opportunities in 2025. We will naturally update you on these material events throughout the year. Here's a high-level overview of our current and near-term operational footprint. Right now, we have facilities in Florida, and North Carolina. We encourage investors to visit our Orlando site for a facility tour as part of your due diligence on 374Water and our AirSCWO systems, we find seeing the technology in action is truly believing. In the near future, we will be deploying AirSCWO systems to Orange County Sanitation in California, Clean Earth in Detroit, Michigan for our DIU demonstrations, the City of St. Cloud, Minnesota for a full-scale demonstration and Peterson Space Force Base in Colorado. Just this week, we announced a new contract by the State of North Carolina for the destruction of AFFF. We are thrilled to be providing waste destruction services to the University of North Carolina at Chapel Hill Collaboratory. This initiative stand as one of the most ambitious state-led PFAS disposal efforts to date. We will destroy AFFF secured by the State of North Carolina as part of their take-back program as per North Carolina's Responsible Firefighting Foam Management Act, H370 of the 2023-'24 session. The first phase aims to treat 1,000 gallons of AFFF with a structured expansion plan for a total of potentially 50,000 gallons. This phased approach demonstrates a strong commitment to eliminating PFAS contamination at scale while setting precedent for future large-scale environmental remediation projects. In addition, we are negotiating the capital sale of AS6 and AS30 units targeting close in 2025 and actively working on multiple other waste destruction contracts and waste destruction services partnerships. Looking ahead, our goal is to establish multiple regional waste destruction facilities in partnership with TSDF, which would cover the Continental U.S., Alaska, Hawaii and beyond. We also aim to develop a mobile AS fleet for on-site waste destruction services, especially for military applications. Additionally, we plan to scale production of AS1, AS6 and AS30 units while laying the groundwork for AS100+ plans which will require an expansion of our manufacturing capabilities in the future. These are exciting times, and we look forward to keeping you updated. Now turning to the approximately $450 billion global waste treatment addressable market opportunity within the municipal, federal and industrial markets. Let's discuss each market segment briefly and why we are excited here. First, the municipal water and wastewater treatment markets is estimated to be worth more than $347 billion annually, growing at approximately 7.5% annually. This market includes approximately 152,000 water utilities, 16,000 wastewater treatment facilities, 3,000 capped and uncapped landfills and more than 52,000 state and local firefighting units. All these facilities have waste streams, which must be managed, disposed of and/or destroyed. We believe our AirSCWO technology is well positioned to provide a compelling waste destruction solution to these markets. Second, the U.S. federal waste management market is estimated at approximately $15 billion. The federal market includes 722 DoD sites, 53 DOE sites and 150 airports under the oversight of the FAA. Federal agencies have stockpiles of contaminated waste streams such as AFFF firefighting foam, chemicals, narcotics, biosolids, filtration media, hydrocarbons and other waste, which must be stored, treated, destroyed and disposed. Federal agencies are actively seeking solutions to eliminate these contaminated waste streams. Again, we believe our AirSCWO system is well positioned to provide a compelling waste destruction solution to these markets. Third, the industrial waste management market is estimated at $128 billion. This market is driven by key sectors such as battery recycling, pharmaceuticals and oil and gas, all of which generate significant organic waste. The rapid growth in battery recycling is largely fueled by the rise in electrical vehicle demand, while the oil and gas and pharmaceutical industries continue to contribute substantial amounts of organic waste. Additionally, numerous lawsuits and stringent regulations related to PFAS contamination, along with ongoing cleanup efforts, further drive the need for innovative waste destruction solutions, creating yet another compelling opportunity for AirSCWO. While it is early days for us in unlocking these market verticals, we feel confident there are substantial opportunities for us. Finally, The Resource Conservation and Recovery Act, or RCRA, Part B permitted treatment storage and disposal facilities market includes more than 860 sites in the U.S. As part of our growth strategy, we're engaging with TSDF market participants to establish a national partnership network of waste destruction sites to service customers within our three core markets: municipal, federal and industrial to provide waste destruction services, which we believe will enable us to generate substantial recurring services revenue. We seek to partner with TSDFs who are known to our customers, have experience in nonhazardous and hazardous waste treatment and have appropriate local, state and federal operating permits. We believe our AirSCWO technology is well positioned to provide a compelling waste destruction solution to these market participants. Our go-to-market strategy is diversified and focused on established end markets, desire waste destruction technology like our AirSCWO system. We offer customers several procurement options, including capital purchases, leases and waste destruction services. Municipal officials remain eager to begin waste destruction operations and have expressed interest in capital purchase and WDS models. Federal government officials have plans to remove and destroy PFAS and other waste from numerous military and civilian facilities and have appropriated hundreds of millions of dollars to perform waste destruction work. We believe we are well positioned to secure federal and state government contracts. We have also increased our focus on pursuing industrial waste destruction opportunities, and we believe there is significant opportunity to generate material industrial revenue in the future. Finally, we are actively pursuing strategic partnerships with TSDFs to establish waste destruction service operations. We expect to finalize one or more of these TSDF agreements and to begin operations in 2025. Our team is actively pursuing these market opportunities to add to our growing pipeline and we will provide further updates throughout the year. We have discussed at length the market need for our AirSCWO waste destruction technology. As we look forward and we continue to expand our business development efforts, further scale our technology and expand our team, we see a very real opportunity to scale the business. Our growth outlook involves a combination of capital sales, leases and waste destruction services. This growth will be achieved through a combination of strategic partnerships, market development and geographic expansion across our municipal, federal and industrial markets. Our initial focus remains the U.S. market. For 2025, we have line of sight to $4 million to $6 million in revenue. Based on current and anticipated future demand, we believe we have a path to $250 million to $500 million in revenue in five years. I would now like to turn the call over to Russell Kline, our Chief Financial Officer, to discuss financial results for the fiscal year 2024.
Russell Kline: Thank you, Chris. Before I discuss our financial results for the 12 months ended December 31, 2024, I would like to highlight that in November 2024, we completed a registered direct offering, which resulted in gross proceeds of $12.2 million and net proceeds of $11.3 million. That funding is being utilized to continue to ruggedize and improve our AS technology, deliver in-process AS systems, prepare to launch our AS waste destruction services offering, further expand our team, including engineering, operations and manufacturing and expand our manufacturing and engineering facilities. Importantly, this financing helped replenish our cash reserves with cash and cash equivalents as of December 31, 2024 of $10.7 million as compared to $10.4 million as of December 31, 2023. and our working capital, which was $11.5 million as of December 31, 2024 compared to $13.5 million as of December 31, 2023. Now turning to our financial results for the 12 months ended December 31, 2024. The company generated revenue of $445,000 compared to $743,000 in the prior year. The company's business in 2024 have been focused on the development and commercialization of its AirSCWO system. Revenue generated was primarily attributable to manufacturing assembly services and from treatability study services. During 2024, we reached fewer milestones and thus incurred less direct contract costs. Costs associated with our sold unit have started to decline as we reach the end of our fabrication and testing, which have had a direct correlation to the reduced revenue recognized this year. That said, we have gained significant momentum on many promising sales opportunities, which have occurred as a result of lab and full-scale demonstrations. We are in active late-stage negotiations with multiple parties for AS6 and AS30 capital sales. We are also launching our waste destruction services business and recently received an award for AFFF destruction within North Carolina. We believe 2025 will be our best year for revenue. Total operating expenses increased 59% to $11.9 million for the year ended December 31, 2024, compared to $7.5 million for the year ended December 31, 2023. The increase was primarily due to an increase in professional fees of $1.7 million, an increase of $1.2 million in general and administrative expenses, an increase in compensation and related expenses of $0.8 million and an increase in research and development expenses of $0.6 million. The increase in our professional fees are primarily nonrecurring expenses related to the settlement of a legal matter and the changes in our executive leadership and Board of Directors that have been previously disclosed. Further, we incurred additional professional fees for executive search services related to the finding and hiring of certain executives we have hired in 2024. The increases in general and administrative expenses is primarily because of an increase in stock-based compensation, travel and other general and administrative expenses as we continue to build out our executive team. We also incurred relocation-related expenses as we move to our new leased manufacturing facility in Florida. The increase in our research and development expenses is primarily due to an increase in engineering costs and expenses stemming from continued efforts to commercialize our systems. Net loss for the year ended December 31, 2024 was $12.4 million as compared with $8.1 million in the prior year. Based upon our current cash position, we project to have adequate cash to support our 2025 business plans. We are in active discussions with possible strategic partners to support our business growth. I will now hand the call back to Chris for his closing comments.
Chris Gannon: Thank you, Russell. In closing, during 2024, we have built a strong foundation to grow our business. And now in 2025, we are focused on becoming a growth company and delivering material revenue. 374Water and AirSCWO seeks to address the waste destruction problem domestically and internationally. We are focused on serving large markets who desperately need waste destruction solutions at commercial scale. In addition, the regulatory environment supports demand. Our AirSCWO system is scalable and customizable, allowing us to address large and small customer needs. We have a flexible go-to-market strategy, which includes capital sales, leases and waste destruction services, and we have an actionable and growing opportunity set, which provides us a path to substantial revenue over the coming years. Taken together, we are excited to move forward as the market demand for innovative waste management and destruction solutions has never been greater, further demonstrated by this week's AFFF waste destruction services contract with North Carolina. Throughout 2024, we executed our plan reaching critical milestones, including an industrialized and optimized AS system. Operationally, we expanded our lab facilities, leadership team and operational capital. We believe we are now well positioned at a major inflection point for the company with a robust and aggressive plan and a clear set of priorities that will enable material growth in 2025. We are confident in our 2025 rollout and the potential for double-digit revenue growth in the future. Both Russell and I as well as the rest of the leadership team joined this company because of the immense potential to disrupt industries. We believe we are on the right track and appreciate you being shareholders. We look forward to sharing more of our story and meeting new investors at the upcoming Gabelli Funds 11th Annual Waste Recycling and Environmental Services Conference in New York City next week. I would like to thank all of you for attending. I will now hand the call over to the operator to begin our question-and-answer session. Operator, please go ahead.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions]. Our first question is from Jeff Grampp with Alliance Global Partners.
Jeff Grampp: Good afternoon. Appreciate the time. I'm curious to expand a bit on the North Carolina opportunity. And I guess maybe in the context of things you guys are working on in the pipeline, what is the time line to evaluate? I think it's 1,000 gallons was kind of the initial up to 28,000 gallons. What kind of determines where it falls on that spectrum? And what's the general time line for when you could, I guess communicate to the market as far as that opportunity progressing? Thanks.
ChrisGannon: Okay. Jeff, thanks so much for joining the question. So as regarding North Carolina, look, they're a very forward-looking state. And so I think they're going to be the model really going forward on large-scale, the destruction of AFFF. But specifically, to answer your question, that first 1,000 gallons, we literally have six months to complete that waste destruction once we receive it. Now we don't need that because of the throughput of our system, but that's the amount of time we have until the next phase would start. What they're focused on is the complete elimination of AFFF. And so that's going to be the measure that they're looking for is that it's completely destroyed, it's been destroyed effectively and it's been destroyed quickly.
Jeff Grampp: Perfect. That's super helpful. And for my follow-up, I'm curious, it sounds like there's a lot of different opportunities here to deploy the AS systems. Can you contextualize like what kind of, I guess, manufacturing capacity you guys currently have? Is that a constraint at all to the growth of the company going forward, at least in the near term?
Chris Gannon: Yes. Thanks for that question as well. So in terms of our capacity right now for manufacturing, we can manufacture roughly two to four systems at a time. So eventually, we will have to expand our facilities. But right now, we're in a good position.
Jeff Grampp: In the two to four range, Chris, that's I guess, irrespective of the size of a given system?
Chris Gannon: Yes, that's correct. I mean the -- when you think about our AirSCWO 1, I mean, that's certainly a small system. We are currently manufacturing that, and that will get deployed very, very shortly. And then when you think about the AS6 or the 30, the 30 is actually not that much larger kind of from a square feet perspective than the 6. So yes, we're comfortable in that range. But eventually, yes, we will have to move on to a larger facility. But right now, we're actually manufacturing at the City of Orlando's water reclamation facility. So those of you who've actually visited that facility and seen our AirSCWO in action, and you saw that video that we put up at the front end of the call, that's at that facility in the city of Orlando. We have a neighboring facility, which is a pitching wedge away from there that we are doing our manufacturing in currently.
Jeff Grampp: Got it. Okay. That's really helpful detail. I will turn it back. Thank you.
Chris Gannon: Thank you.
Operator: [Operator Instructions]. Thank you. I would now like to turn the call back over to Mr. Gannon for his closing remarks.
Chris Gannon: Thank you, operator. I would like to once again thank everyone for joining our conference call today, and we look forward to continuing to update you on our progress going forward. If you were unable to or we didn't answer all of your questions and you have ones that come up, please reach out to our IR firm, MZ Group, who will be able to assist you and get you to the right people. Also, as another offer for those of you that find yourself in the Orlando area, we would love to schedule the time to have you come down and see our technology and operation. And as I mentioned earlier, seeing is truly believing here. Well, that concludes our fiscal year 2025 update call and thank you everybody.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.